Operator: Good morning, ladies and gentlemen, and welcome to the Canadian Natural Resources Second Quarter 2014 Conference Call. [Operator Instructions] Please note that this call is being recorded today, Thursday, August 7, 2014, at 9:00 a.m. Mountain Time. I would now like to turn the meeting over to your host for today's call, Doug Proll, Executive Vice President of Canadian Natural Resources. Please go ahead, Mr. Proll.
Douglas A. Proll: Thank you, and good morning, everyone, and thank you, for joining our second quarter 2014 conference call. Today, we will review with you our quarterly financial and operating results and provide an update on certain projects, including the integration of the significant asset acquisitions undertaken in the first half of this year. With me this morning are Steve Laut, our President; and Corey Bieber, our Chief Financial Officer. Before we begin, I would refer you to the comments regarding forward-looking information contained in our press release, and also note that dollar amounts are in Canadian dollars, and production and reserves are expressed as before royalties unless otherwise stated. I would like to make a few brief comments before turning the call over to Steve and Corey. Cash flow from operations in the second quarter amounted to CAD 2.63 billion or CAD 2.41 per share, an increase of 22% from the CAD 2.15 billion from the first quarter and a 58% increase over the CAD 1.67 billion realized in the second quarter of 2013. Net earnings and adjusted earnings from operations for the second quarter were also very strong at CAD 0.98 and CAD 1.05 per share, respectively, significant increases over the first quarter of 2014 and the second quarter of 2013, demonstrating the record level of cash flow and the profitable growth potential of our strong and diversified asset base. Higher realized netbacks from crude oil were driven by WTI and dated Brent benchmark pricing and lower heavy oil differentials for Canadian select, as well as the attention to detail that Canadian Natural brings to managing our operations effectively and efficiently. Our second quarter 2014 BOE production amounted to approximately 817,500 BOEs per day and is very balanced across the diverse product line. Light oil, natural gas and SCO represented 30% of BOE production. The components of our Western Canadian select product stream, including primary heavy Pelican Lake and bitumen crude oil represented 30% -- 37% and natural gas was 33%. This balanced production mix provides exposure to these commodity prices, the related volatility and also provides us with the opportunity to allocate capital to the highest return assets in our portfolio. We continue to execute on our capital allocation formula, capital allocation to maximize the value of our diverse asset base for profitable growth, returns to shareholders through sustainable dividends and share purchases, nimbly executed acquisitions in our core areas and the maintenance of our balance sheet. I will now turn you to Steve for his synopsis of the quarter and the outlook for the remainder of 2014.
Steve W. Laut: Thanks, Doug, and good morning, everyone. The second quarter was a strong quarter. Canadian Natural's balance and diverse assets, combined with our strong teams focused on a cost-effective development and effective and efficient operations, delivered in the second quarter. With record cash flow driven by excellent operations performance, record liquids production, near-record natural gas production, declining operating costs and strong oil prices as a result of good WTI pricing and heavy oil differentials, offset somewhat lower gas prices versus Q1, delivered a 5.5% increase in Q2 netbacks. Canadian Natural's primary heavy oil delivered another record production quarter at 143,100 barrels a day, a 5% increase year-over-year. We drilled 122 wells in Q2 and are on track to drill 850 Wells in 2014. Operating costs were down in Q2 by 3.6% over Q1. Primary heavy oil continues to deliver the highest return on capital in our Canadian portfolio and delivers consistent and growing free cash flow. Our Canadian light oil and NGL production delivered record quarterly production of 93,000 barrels a day, up 46% year-over-year as result of property acquisitions and the successful realization of horizontal multi-frac wells in a wide cross-section of light oil pools in our portfolio, as well as the ongoing development of enhanced recovery projects. The polymer flood at Pelican Lake continues to perform, as we've achieved another at record quarterly production of 49,600 barrels a day, a 19% year-over-year increase. We continue to optimize our polymer flood operations, dropping operating costs to 8% in Q2 over Q1, enhancing the effectiveness of the polymer flood, setting the stage for an even more effective conversion of the remainder of the field to polymer flood. We will have roughly 57% of the pool under polymer flood by year-end. At Primrose, production exceeded the top end of guidance by 6% at 114,400 barrels a day as performance exceeded expectations with the implementation of revised steaming strategies in Primrose North, developed as a result of the Primrose East causation review. The causation review report, along with the report by the independent expert panel which confirm the Canadian Natural report, have been submitted to the AER. Our report is on our website. In summary, the causation review is to identify both the cause of the seepage to the surface and a pathway from the Clearwater formation to the surface. In essence, there are 4 contributing factors to the seepage to surface. First, a volatile fluid was released in the Grand Rapids formation from the producing Clearwater formation. Secondly, to have a seepage to surface, this volume must move to the top of the Grand Rapids formation, which overlies the Clearwater. Thirdly and most importantly, in addition, this volume must be in a close proximity to a pathway, most likely be a mechanical failure of a wellbore, to bypass the lower Colorado shale. As we said previously, we believe the mechanical failure of these old wellbores is the root cause of the seepages. It is, however, possible that some of the geological feature would allow the bypass of the Colorado shale, but it is unlikely. Fourthly, large steaming volumes changed the stress states of the capping shales. Based on the report, mitigation plans for all possible causes of seepage to the surface have been developed. The mitigation plans include proactively remediating wells with unconfirmed cement across Colorado shale -- group of shales, thereby eliminating the most likely wellbore path to the Colorado shales. Modifying steaming strategies to minimize the change in the capping shales and limit the potential for fluid releases into the Grand Rapids formation. Enhance subsurface pressure and seismic monitoring of the Grand Rapids formation and heightened response to these signals from subsurface monitoring, from our system, to prevent the first 2 contributing factors from occurring. We're currently in the process of completing a final report that will be submitted later to the AER in 2014. Once we have submitted the final reports, we will then look to submit the cyclic steam applications in other Primrose East areas. A steam flood application was submitted for Primrose East Area 1 last week. Under steam flood, it is not possible to achieve the 4 contributing factors that cause seepages. At Kirby South, the reservoir is responding as expected, and current production is curtailed at 19,000 barrels a day, as we had some designer operating issues with our steam generation facilities in July. We're in the process of making repairs to the 5 steam generators. Currently, we have about 84% of the optimal steam generation required to meet the reservoir today. We expect to bring back incremental steam capacity in stages and be at the full steam generation capacity by November. As a result, the ramp up production has been shifted. Ramp up to 40,000 barrels a day is now expected to be in early Q1 2015. It's important to point out that this is an easily solved facility issue, and that the Kirby South reservoir is responding as expected. Kirby North is our next 40,000-barrel-a-day step, and we have prebuilt infrastructure to accommodate the Kirby North Phase 2 expansion and potentially an optimization with Grouse. Kirby North will start with 56 SAGD well pairs with a steam end date expected in Q4 2016. The cost to construct the facility, drill, complete and tie in 56 well pairs will be CAD 1.45 billion or CAD 36,000 per flowing barrel. Grouse will follow Kirby North with a 40,000-barrel a day facility, and the geological engineering and relative world on Grouse is proceeding to plan. Kirby South, Kirby North and Grouse all contribute to our transition to a longer life, lower decline asset mix. With the temporary curtailment of steam generation at Kirby and the resulting shift in Kirby production profile, as well as delays in starting up the Primrose East steam flood, we've adjusted the lower-end of thermal production guidance down to 112,000 barrels from 120,000 barrels a day or shifting the midpoint of guidance down about 3,000 barrels a day, from the previous bottom end of guidance, where we stated last quarter was the most probable target. Overall, both these issues are essentially timing issues and we expect strong performance from our operations going forward, as we saw in Q2, with production exceeding guidance. At Horizon we continue to run strong with safe, steady and reliable production. Q2 production was a record 119,200 barrels a day at a very high utilization rate of roughly 99%. In July, we produced 112,700 barrels a day, down somewhat from Q2, as we conducted some in situ remediation and testing of hydro-treating catalysts to ensure we'll be ready for the increased production coming on stream with the coker expansion tie-in. Preparations for this tie-in are complete. We're staged and we're ready to go. The shut-in -- shutdown's scheduled for August 16. The tie-in should take about 25 days, plus or minus a couple of days. Once we complete the new tie-in of the new cokers and ancillary equipment, they will need to be commissioned. As a result, we expect to be at full rate in October. After the tie-in, stream day rate will be 133,000 barrels a day, and if you assumed annualized capacity at about 4%, deliver sales in that 127,000-barrel a day range. In Q2, we clearly did better than 4%. However, 127,000 barrels a day is our targeted normal production rate until our next expansion tie-in 2016, when we'll bring in additional 45,000 barrels a day. As a result, Q3 production guidance is 82,000 to 89,000 barrels a day, with yearly guidance upgraded with the bottom end of guidance increased 2,000 barrels a day. Yearly guidance is now 109,000 to 115,000 barrels a day for Horizon. Canadian Natural has been very focused on establishing safe, steady reliable operations. And as we discussed at our last conference call, we're expanding our focus to production optimization. And we have made good progress at the optimization stage at Horizon. We're now beginning to see some results, with op cost declining to CAD 36.61 a barrel in Q2, down 11% from Q1 and 19% year-over-year. The Horizon Expansion is going to plan, and we're now at the 42% overall completion point with year-end completion targeted at 55%. As a reminder, Phase 2 is now complete and well ahead of the original schedule of 2015, as I said earlier, it's being tied-in starting August 16. Phase 2B at 45,000 barrels a day will be tied in 2016 and Phase 3, that adds a final 80,000 barrels a day to take it to 250,000 barrels a day, will be tied in 2017. Both project execution and operations at Horizon are going well. Our execution strategies are working and our focus on safe, steady, reliable operations, as well as operation discipline, are paying off. We're targeting strong performance going forward. In Q2, international production decreased to 25,800 barrels a day, mainly due to the production shutdown at Tiffany platform, accounting for 4,500 barrels a day. Tiffany is expected to restart in mid-August. The Banff FPSO is now back online with production targeted in the 5,000-barrel a day range. North Sea drilling is underway with 2 drill strings as a result of successful brownfield allowances. At Espoir, Côte d'Ivoire, we've secured a second -- a tendered assistance drilling rig to complete a 10 gross, 5.9 well infield program. This starts -- to start in late September of 2014 and add 59 net BOEs when complete -- 5,900 net BOEs when completed. At Baobab, we've secured a rig to drill 6 gross, or 3.5 net, well infield program that is targeted to commence drilling late 2014, early 2015. And when complete, it's storages add 11,000 BOE/ds net production. On Block 514, where we have a 36% working interest, the exploration well has been drilled and has discovered the presence of light oil. The data from this well will now be evaluated to determine where a delineation well should be drilled. The earliest timeframe a delineation well could be drilled is Q1 2015. Potential structure site is -- are in the 0.8 billion to 1.4-billion barrels range. The fact that light oil is present in Block 514 is a positive for our Block 12. Canadian Natural operates with a 60% interest, and we've now completed seismic operations. We're evaluating the seismic and could potentially drill an exploration well in 2015. At Canadian Natural's exciting deepwater South Africa exploration block, the rig is spudded -- is expect to TD in roughly 120 days. As a reminder, the South African block contains 5 significant structures with sizes up to 1 billion barrels. Canadian Natural has a 50% working interest in this block and has carried up to CAD 150 million on the first well. Canadian Natural's gas production was up 46% year-over-year, largely the result of property acquisitions and our limited liquids-rich gas drilling program. The integration of the acquired properties has gone very well, with 25 facility consolidation projects planned, 4 of which have been completed. And an additional 10 infrastructure optimization projects are also planned. Two have already been completed. We're also continuing to capture additional operating synergies in our field operations. As a result, we expect to see roughly an 18% reduction in our operating cost on the acquired properties, about CAD 0.32 an Mcf, a significant uplift to the acquired properties netbacks. This will be reflected in our operating cost guidance, which has remained unchanged even though the acquired properties have operating cost of roughly CAD 1.77 an Mcf. Our guidance remains unchanged at CAD 1.35 to CAD 1.45 an Mcf. At Canadian Natural, we are focused on effective, efficient operations and maximizing value. In terms of effectiveness and efficiency, we have seen some good improvements in 2014, with overall North American E&P liquids operating cost down 8.2% in Q2 versus Q1. North America-ism natural gas operating cost, even with the higher operating costs added through acquisitions, are down 4% in Q2 to Q1. Horizon operating costs are down 11% in Q2 versus Q1. In terms of maximizing value, we've also made good progress in the optimization of our significant royalty income stream and the ultimate monetization of our royalties. A thorough review is underway to integrate the newly acquired fee simple and royalty lands with Canadian Natural's previous existing royalty portfolio. This review includes a detailed review of land position, production volumes, product mix, associated cash flow and collection of payments. To date, this review has identified 47 offset obligations with comp royalties outstanding. Our plan will be to monetize the royalty stream to maximize value for shareholders, be it separate vehicle or outright sale. We're targeting year end to determine a plan going forward. Overall, there's no doubt the second quarter was a strong quarter for Canadian Natural, as we continue to build a premium value, defined growth independent. We're one of the few companies our peer group that has a diversified and well-balanced assets that deliver free cash flow on a sustainable basis. A direct result of Canadian Natural's proven an effective strategy that optimizes capital allocation to maximize value ensures we have effective balance, not only in our assets, but in our capital allocation. Between asset growth, near-, mid- and long-term; return to shareholders; and balance sheet strength, this gives Canadian Natural a clear advantage compared to our peer group. And Canadian Natural managed started to post strong free cash flowing, generating conventional assets. Canadian Natural's conventional assets are the backbone and the underlying driver of our transition to a longer life, low decline asset mix for providing the funding for the transition. All our conventional assets generate free cash flow. The transition to long life, low decline assets at Horizon, our thermal in situ assets at Pelican Lake is well underway, providing significant sustainable cash flow. As production ramps up from these assets, Canadian Natural's free cash flow grows rapidly and is much more sustainable, as reserve replacement cost for these assets is very low. Both thermal and Pelican are, today, generating significant and sustainable free cash flow. As our free cash flow ramps up, Canadian Natural's effectively balancing the allocation free cash flow to our priorities. Our first priority is to resource development, and in 2014, we're closed to optimal capital allocation. Our second priority is return to shareholders via dividends and share buybacks. Dividends have increased for the last consecutive 14 years, and since Horizon Phase 1 is come on stream, has increased at a 35% CAGR. We've bought back roughly CAD 372 million or 8.165 million shares year-to-date, giving us share buyback levels that rank us top tier in our peer group. And thirdly, through opportunistic acquisitions. The recent asset acquisitions we have made in 2014 are opportunistic and clearly demonstrate our ability to be nimble. And fourthly, to debt repayment. Our balance sheet is very strong and is the last priority for free cash flow allocation. Canadian Natural's strategy works, and we continue to balance the allocation of free cash flow effectively. As we bring on the next stage of our long-life, low-decline assets, free cash flow will rise to sustainable CAD 5.5 billion to CAD 6.5 billion a year by 2018, assuming, of course, a stable commodity price, economic and regulatory environment. Canadian Natural's ability to grow production from our asset base, as well as grow with sustained free cash flow, is one of the key factors that differentiate us from our peer group and is unrivaled in my view. With that, I'll turn it over to Corey to provide some more details on our very strong financial position.
Corey B. Bieber: Thank you, Steve, and good morning, everyone. As earlier noted, our second quarter cash flow represented record levels of quarterly liquids production, BOE production, adjusted earnings and cash flow. The integration of acquired property, exceptional reliability at Horizon, continued organic growth in our Pelican, primary and thermal heavy oil properties, together with stronger benchmark oil pricing and weaker Canadian dollar, helped drive this result. For the first 6 months of 2014, we have recorded a 12% percent liquids production growth, 24% natural gas production growth and 15% overall BOE/d growth versus the first 6 months of 2013. More importantly, 6-month cash flow from operations have increased an impressive 47% over 2013 levels to CAD 4.8 billion from CAD 3.2 billion or CAD 4.368 per common share from versus CAD 2.97 common share last year. Adjusted earnings have grown 139% to CAD 2.1 billion or CAD 1.90 per common share from CAD 860 million or CAD 0.79 per common share in 2013. To drive these results, capital expenditures of CAD 7.3 billion were made during the first half, including CAD 3.6 billion in asset acquisitions and CAD 1.1 billion on Phase 2/3 project expenditures at Horizon. As you look forward, we see continued organic growth during the second half of 2014, highlighted by the commissioning of the 2 additional coke drums at Horizon during the Q3 pit stop, the continued ramp of Kirby South volumes, the return to production of Tiffany and Banff/Kyle in the North Sea, as well as commencement of the Offshore Africa drilling program. From a balance sheet perspective, we remain strong with debt to book capitalization ratio of 33%, still within our targeted ranges. And with further improvements expected during the second half of the year. It's worth noting that this forecast ratio does not consider the impact of the potential disposition of the combined royalty revenue streams from Canadian Natural's legacy and acquired assets. As Steve noted, we continue to review the various options and value propositions for the monetization of this stream. During the second quarter, Canadian Natural issued CAD 500 million in five-year Canadian MTMs with a coupon of 2.6% and CAD 500 million in 10-year MTMs with a coupon of the 3.55%. This allowed us to exit the quarter with over CAD 2.2 billion of available liquidity. We remain, however, also cognizant of potential downside price risks and the impact this could have in our financial positioning. We continue to maintain a capital program that affords the flexibility to reduce spending in the unlikely event of a major negative price movement. Further underpinning cash flows are a prudent hedge program. For the remainder of 2014, we currently have about 1/3 of our liquids production hedged with Brent floors at about CAD 82 and a further 22% hedged through WTI collars with a floor of CAD 80. More detailed information regarding the nature, timing and pricing of the hedge program is available on our website. During 2014, we remain active in our normal-course issuer bid program. Year-to-date, we have expended over CAD 370 million buying back 8.165 million common shares at an average price of CAD 45.59. Therefore, this expenditure is already in excess of the CAD 320 million expended for the full year of 2013, and is reflective of our commitment to returning more money to shareholders while continuing to build the business. Of course, nowhere is this commitment to shareholders more visible than our dividend levels. Via the increases in late 2013 and early 2014, our Q2 '14 dividend of CAD 0.225 represents an 80% increase over the Q2 2013 dividend paid of CAD 0.125. In summary, I believe Canadian Natural is financially strong and has a well-thought-out plan for ongoing creation shareholder value. The plan is complete with the optionality to protect in the downside and to proactively take advantage of opportunities when they arise. In my opinion, there are a few companies with such a visibly defined plan for both growing the business and returning money to shareholders. With that, I'll hand the call back to Doug for his closing comments.
Douglas A. Proll: Thank you, Steve and Corey. Operator, I would like to now open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of David McColl from Morningstar.
David McColl - Morningstar Inc., Research Division: Two questions today. One on Horizon and one that's a little more broadly focused. I'll shoot them both out at once. You provide some comments on the next round of expansions at Horizon. That was the 45,000-barrel-a-day expansion. Given the success we've seen with Phase 2A, has there been any talk about an earlier start up, perhaps a mid-2016 for that expansion or are we still really thinking that late 2016 is far more likely? And then, my second question really relates to cost pressures. It sounds like Kirby's in good shape, and while we've seen some minor pressure, I think, from other firms in Alberta it still seems fairly muted. I'm just wondering if your assessment, I guess, would be maybe similar in terms of labor, material, that it's just things in Alberta seem to be on track.
Douglas A. Proll: Thanks, David, and I'll answer your question as a series. Horizon, obviously we're doing very well. Phase 2A, the coker expansion, as you noted, came on early and it came under budget by a significant amount. We are on track with the rest of the expansion and we're running slightly below budget, and we're running right to schedule. At this point in time, I don't see us coming on any earlier than the schedule. But there could be a possibility of that, but I don't think it's very high. So we would not change that schedule of late 2016 for the 45,000 barrels a day. And on the Phase 3 would be 80,000, we're not changing that schedule either. As far as cost pressure goes, I think you're right. It is somewhat muted. You do see the pressures here and there. I think, actually the industry as a whole has learned how to deal more effectively with these mega projects, and you're starting to see that. You see in our case, where we've broken a project into many small pieces and we're using lump sum to much higher degree, mainly because we have so much engineering and detailed engineering done that we can get lump sums. We're also breaking into smaller pieces so that if we do not get the bits that we need to build the project or that small piece, we will slow it down and break it down to a different proportion and be very cost-focused versus schedule-focused. And that has worked very well. We expect it to work well going forward. Although I think, with more work coming, you could see additional pressure in the future. But right now, we're not seeing much.
David McColl - Morningstar Inc., Research Division: I guess maybe just one quick little follow-up on that. Is there any concern that depreciation of the Canadian dollar, if we keep seeing it go down relative to the U.S., that, that could put a bit under some of these costs of what you're importing?
Steve W. Laut: Well, that will affect the cost of equipment that's being imported. However, most of our contracts that we have left for Phase 2/3 are lump sum, so that risk is already accounted for. And most of the material and the big equipment that we need has already been purchased. So I don't expect to see much pressure from the Canadian dollar on Phase 2/3.
Operator: Your next question comes from the line of Greg Pardy from RBC.
Greg M. Pardy - RBC Capital Markets, LLC, Research Division: A couple of questions. Steve, you mentioned that you're making some fixes to the steam generation facility at Kirby. Can you just touch on those, what they are?
Steve W. Laut: What happened here, Greg, it's -- I guess, it does happen occasionally with steam generation. We're seeing metal loss on the steam tubes. Basically, you run the water through steam tubes, the heat to generate steam. We're seeing excessive metal loss in some of the tubes in the steam generators. At this point, it's probably a combination of factors. It may be design. It may be operating conditions. It may be water quality or it may be a number of other issues. We know what the fix is. We've already got 1 of the 5 steam generators repaired. It's not a big thing to do. It's not a very expensive thing to do. It just takes time.
Greg M. Pardy - RBC Capital Markets, LLC, Research Division: The second thing is -- a little bit broadly but still on Primrose. How should we be thinking about Primrose from the standpoint of capacity production? I'm wondering if you can just spend a minute on that now. With the final report going in later, you mentioned that you've seen a little bit of a deferral in terms of the implementation of low-pressure steam flood. Is low-pressure steam flood the way you were going to be going at Primrose on a go forward basis or is that more with respect to Primrose East?
Steve W. Laut: Low-pressure steam is applied for in Primrose East Area 1, and Primrose East Area 1 is the area where we've had here seepages here and the most area of concern. It's also had 3 or 4 cycles, so we had good communication between the wells. And converting to a steam flood was always the ultimate goal of Primrose East Area 1, so we have made that application to do that. We expect that to be approved because it's -- in steam flood, you have no ability to actually have a seepage. Primrose East Area 1 is probably a unique area. Geologically, it's on a salt dissolution edge, so maybe different stresses in the rock. And as it started earlier, it's difficult to get a good cement job on some of these old legacy wellbores, so that's likely why we've seen these seepages here in this area. Outside of Primrose Area 1, we will continue to go with our preferred method of cyclic steaming, and that is ongoing as it is right now. So the reason the shift in production is we actually expected to have steam flooding going sooner. It took us longer to get all the data assimilated. As you can imagine, we've collected a tremendous amount of data here in this causation review and it has allowed us to really fine-tune exactly what's going and really helped us develop the mitigation plans. That took us longer than we thought, to put that whole report together to get to the AER. And of course, they could need some time to go through it. And as I said earlier, the steam flood been applied for last week and we're looking forward to getting that approved, and once we do, then we'll start steam flooding.
Greg M. Pardy - RBC Capital Markets, LLC, Research Division: Okay. And then just Area 1, what was the capacity perhaps under high pressure cyclic versus going to the steam flood? How much is that going to change and...
Steve W. Laut: Overall, the whole Primrose East Area had a capacity of 40,000 barrels a day, and there were 4 areas. So at Primrose East is the one that is spread so long. So, as you know each cycle, you have less production. So I think, actually, the impact on production is going to be relatively minimal. Although I would say, with cyclic you get production sooner. It'll take a little while for production to ramp up with steam flood. So, overall, when you get it lined out 3 or 4 months from now, you wouldn't see much drop in overall yearly average production from a steam flood at this stage versus a cyclic program at this stage because we're 3 or 4 cycles in.
Operator: [Operator Instructions] Your next question comes from the line of Mike Dunn from FirstEnergy.
Michael P. Dunn - FirstEnergy Capital Corp., Research Division: Just wonder if Steve or if one of you folks could talk about your outlook for crude price differentials as we head into this winter. I see you've added some more WTI, WCS spread hedges there.
Steve W. Laut: Thanks, Mike. I think we're fairly bullish on heavy oil differentials as we have been here for a while. Normally, you will see the heavy oil differential widen slightly as you go into the winter months, just because asphalt demand is down. But we still see heavy oil differentials being quite good and very strong compared particularly to last year going forward.
Operator: And I have no further questions at this time. I turn the call back over to Mr. Proll for closing remarks.
Douglas A. Proll: Thank you, operator, and thank you, ladies and gentlemen, for attending our conference call. As you have seen today, Canadian Natural has a very strong and diverse asset base, a complementary balance of production and strong well-developed plan for the systematic development of this asset base. We concentrate on safe, efficient and reliable operations and a strong financial position supported by readily available liquid resources. We are focused on profitable growth through the development of our balanced asset base and returns to shareholders in the near-, mid- and long-term. If you have any further questions, please give us a call. Thank you, again, and we look forward to our third quarter conference call in November.
Operator: This concludes today's conference call. You may now disconnect.